Operator: Good day, and welcome to the International General Insurance Holdings Ltd.’s Third Quarter 2024 Financial Results Conference Call. All participants are in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Robin Sidders, Head of Investor Relations. Please go ahead.
Robin Sidders: Thanks, Cindy, and good morning, and welcome to today’s conference call. Today, we’ll be discussing our third quarter and nine months 2024 results. You will have seen our results press release which we issued after the market closed yesterday. If you’d like a copy of the press release, it’s available in the Investors section of our website at iginsure.com. We’ve also posted a supplementary investor presentation, which can be found on the website as well on the Presentations page in the Investors section. On today’s call are Executive Chairman of IGI, Wasef Jabsheh; President and CEO, Waleed Jabsheh; and Chief Financial Officer, Pervez Rizvi. As always, Wasef will begin the call with some high-level comments before handing over to Waleed to talk you through the key drivers of our results for the third quarter and nine months of 2024 and finish up with our views on market conditions and our outlook for the remainder of the year and the upcoming January 1 renewals. At that point, we’ll open the call up for Q&A. I’ll begin with the customary safe harbor language. Our speakers’ remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will in fact be achieved. Forward-looking statements involve risks, uncertainties and assumptions. Actual events or results may differ materially from those projected in the forward-looking statements due to a variety of factors, including the risk factors set forth in the company’s annual report on Form 20-F for the year ended December 31, 2023, and the company’s reports on Form 6-K and other filings with the SEC as well as our results press release issued yesterday evening. We undertake no obligation to update or revise publicly any forward-looking statements which speak only as of the date they are made. During the conference call, we will also use some certain non-GAAP financial measures. For a reconciliation of these non-GAAP financial measures to the nearest GAAP measure, please see our earnings release, which has been filed with the SEC and is available on our website. With that, I’ll turn the call over to our Executive Chairman, Wasef Jabsheh.
Wasef Jabsheh: Thank you, Robin, and good day, everyone. Thank you for joining us on today’s call. As we head into the final weeks of 2024, I’m very pleased with the consistent and high quality performance of IGI. Through the first nine months of this year, we have achieved a combined ratio of 80.5%, net income of over $100 million and an annualized return on average shareholders’ equity of 23.5%. These are excellent results. As you know, we are nearing the fifth anniversary since we became a public company and began trading on the NASDAQ exchange. During this time, we have clearly demonstrated our ability to deliver on our promise of generating consistent and sustainable value for our shareholders. This is reflected in our compounded annual growth and book value per share plus dividends of 12.3% since 2020. We have built our company into a strong and resilient organization with a solid balance sheet, a well-diversified book of business and strong, high performing and diverse leaders across our group. We have the strategies in place that allow us to respond quickly and decisively to our markets and focus on those areas with the highest margins and best rates of risk adjusted return. And we have a well-defined culture of inclusion and collaboration that underpins everything we do. I expect that as we navigate the remainder of 2024 and head into 2025, this will hold us in very good state. I will now hand over to Waleed who will discuss the numbers in more detail and talk about market conditions and our outlook for the year ahead. I will remain on the call for any question at the end. Waleed?
Waleed Jabsheh: Thanks, Wasef, and good morning, everybody, and thank you all for joining us today. I’m delighted to be talking to you today from our new London offices in the landmark Walkie-Talkie' Building. We recently moved here from our old Lime Street location. Given the tremendous growth we’ve seen over the past few years, we outgrew our old offices where we were spread over two floors. Our new location gives us additional space to continue to grow and to have all our people on one floor, which really enhances our ability to connect and collaborate more effectively with each other. This new location is very much a reflection of our growth, our maturity and our progress. And I’m proud to see the very genuine and visible sense of pride amongst our London and global teams at everything we’ve achieved. Coincidentally, as Wasef touched upon a moment ago, we’re nearing the fifth anniversary since we became a publicly traded company and whilst five years is a relatively short span of time given our 23-year history. It is the period where we’ve seen the greatest transformation of IGI into a truly global company with an equity base of more than $650 million now and a market cap that recently surpassed the $1 billion mark. This is particularly gratifying. It was only five years ago where we had a market cap of less than $400 million. In the same period, we’ve doubled our gross premiums significantly increased our investment portfolio and doubled our asset base to over $2 billion. We’ve also added new lines of business, opened new offices in Malta, Bermuda and Oslo, and entered new territories, most notably the U.S. We’ve built a much larger and more dynamic, resilient and stable business which we’re confident will hold us in good stead in the years ahead. Most importantly though, we’ve generated significant shareholder value as Wasef noted a moment ago. And since 2020, we’ve grown our book value per share at a compounded annual rate of 13.3% through September 30, and we’ve paid almost $60 million in common share dividends during this period. Turning to the results and following our usual agenda, I’ll recap our Q3 and nine-month numbers before moving on to our view of the market. The overriding comment I would make is that we produced another set of very healthy results in Q3 leading to an excellent first nine months. In addition to being a more active loss environment, there were a few moving pieces in Q3, notably currency movements, which I’ll talk about in a moment. And this should not detract from the solid underlying results. Starting with the top line, gross written premiums were down 8% in Q3 and this was reflected in across all of our three reporting segments, but each for different reasons. This is a little counter to our commentary in prior quarters, but this isn’t something to be concerned about, nor is it an indicator of full year growth. For the nine months – the first nine months, gross premiums were up marginally over the same period last year, which largely reflects the impact of the Q3 gross premiums on the nine-month period. Similarly to the second half of 2023 or, sorry, similarly to the third quarter of 2023, there are some timing issues between the third and fourth quarters. The takeaway here is that there are opportunities for new business, but we do need to work harder to find them, and that’s exactly what we’re doing. Having said that, if the profitability doesn’t meet our requirements, we’re simply not going to write the business. Our business is cyclical and what you’re seeing from us now is cycle management. The key metric is the risk adjusted rate on return of business and our focus will always is and will always be on bottom line profitability. Our combined ratio of 86% for Q3 and 80.5% for the first nine months are extremely healthy and reflect the continued strong profitability of the group, in spite of a higher level of cat losses in 2024. The third quarter combined ratio is in line with our long-term averages, but I would note that in addition to the higher losses, FX also played a role here contributing about 10 to 12 points to the ratio. The nine-month combined ratio is well below our long-term averages. On the specific losses so far in 2024, we’ve had Hurricane Helene flooding in Europe and the United Arab Emirates, the Taiwan earthquake, convective storms in the U.S. While in the fourth quarter, we’ve had Hurricane Milton and some more extreme flooding in Europe. Our share of those losses has been very manageable and illustrates the resilience we’ve created in a larger and more diversified portfolio. You also saw in our results press release last night that we recorded some reserve strengthening during the third quarter. The driver of this was in our long-tail portfolio, and I’ll talk about this more in a moment. I have said on prior calls that I’m not one to play the but for [ph] card, but I would note that foreign currency movements during the third quarter made the difference between reporting favorable versus unfavorable reserve development. On a neutral FX basis, the 7 million unfavorable development or 5.6 points would have been a reserve release of approximately 5.5 million. A few comments on our segment results. If we start off with the Short-tail segment, gross premiums were down 3% in Q3 through a combination of factors. Contraction in our aviation book, which I’ve spoken about many times before, and the non-renewal of some property energy accounts where either we decided to non-renew or we’ve been firm in our pricing and the clients decided to go elsewhere. For the nine months through September 30, which is a better indicator. Gross premiums in the segment were up more than 3%. Both earned premium and underwriting income were up in Q3 in the nine months compared to the same periods in 2023, and we continued to find good opportunities for business in certain lines, especially engineering, onshore energy, property, contingency and marine. The Reinsurance segment continues to perform well. Gross premiums were down just under 12% in Q3, but we expect this will correct itself in Q4. As we mentioned last year, a greater proportion of our Reinsurance business in steps in the first half of the year and is based on reinsurance estimates with adjustments or true ups [ph] made in the third and fourth quarters of actual premiums are recorded. In this segment, both underwriting income and net earned premiums were up over the same period as last year. The Long-tail segment continues to be the most challenging area of our portfolio and where we again saw contraction in the book 13% in Q3 and about the same for the whole nine months. As a result, both net earned premiums and underwriting income were down compared to the same period last year. I mentioned the reserve action we took in the long-tail book, which was in a specific area of our professional indemnity portfolio. As a result of some development on this business, we’ve taken a more cautious approach and outlook and strengthened some of our reserves relating to one of the earlier years. There's nothing systemic here and we don't expect there to be any further material unfavorable development on this. You'll all note that the PI book is almost entirely a UK book of business written in British Pounds, so lost reserves can be impacted by FX movements as I mentioned earlier. Overall on the long-tail segment, what I said last quarter remains the same. For the foreseeable future we're likely to continue to see rates under pressure and we will continue to take a more cautious view here, and that's all part and parcel with our cycle management. Similar to the past few quarters, investment income improved for Q3 and nine months resulting in a 0.5 improvement in the annualized investment yield to 4.3% for the first nine months. In our fixed income portfolio we maintained the overall average credit rating at A and edged the average duration out slightly to just under three-and-a-half years. Net income for Q3 was $34.5 million and $105.1 million for the first nine months, up from the prior year as a result of the solid underwriting margins and better investment income. But its worth noting the impact that the redemption of the warrants had on the Q3 and nine months 2023 numbers. Core operating income was just under $31 million in Q3 and about $104 million through September 30th of this year. Turning to the balance sheet. Total assets increased almost 10% to $2 [ph] billion. Total equity increased over 20% to more than $650 million at September 30th when compared to December 31, 2023. During the quarter, we repurchased more than 340,000 common shares takes us to 1.26 million shares in the first nine months of 2024. That leaves approximately 2.5 million shares remaining under our repurchase authorization at the end of Q3. Ultimately, we record a return on average shareholders’ equity of more than 22% for Q3 and 23.5% for the nine months, and a core operating ROE of just under 20% for Q3 and just over 23% for the first nine months of this year. Lastly, and most importantly, we grew our book value per share by 10.5% in Q3, reflecting growth of just under 19% through the first nine months. Book value now stands at $14.71 per share as at the end of the third quarter. Turning to our markets and our thoughts on the approaching January 1st renewal season, our outlook remains pretty much similar to what we've talked about on previous calls, perhaps slightly a bit more stable overall. Capacity is still plentiful in many of our markets and consequently competitive pressures are persisting to varying degrees, and that depends on the line of business and which parts of the world we're looking at. As I noted earlier on the call, the more active loss environment over the past few months, particularly from a natural catastrophe perspective, that appears to have had more of a stabilizing effect on the market overall, both from a pricing perspective as well as on competitive behaviors as we head into the final weeks of the year ahead of renewal season. Much of the commentary so far this earnings season has focused on pricing, continued organic growth, increasing frequency of weather related CAT events, and from a predominantly U.S. perspective, impact of social inflation. It isn't lost on us that the current political landscape has led to heightened polarization [ph] of the world around us. It seems clear that as an industry we will continue to face more pressure from various touch points. For us and IGI specifically, we have a uniquely broad footprint for a company of our size, both in terms of the number of products we offer and the geographic territories we play in. This gives us more optionality and more levers to pull to fulfill the promises we've made to our clients and brokers as well as to, of course, our shareholders. It allows us to see emerging trends and respond quickly, decisively to where the best opportunities are, and that is critical in today's environment. Our strength is in our ability to shift our focus and pivot to those areas with the strongest rate momentum and the highest margins, while remaining disciplined, selective and consistent and most importantly working well within our defined risk appetite and tolerances. And quite simply, if the right opportunities just aren't there we've said this before, and if it means that we're scaling back in some lines or markets, then that's what we're going to do. And at the end of the day, we will not sacrifice growth for strong underwriting, profitability and value creation. That said, I expect we will continue to see some good opportunities to grow. Those opportunities may be harder to find at rates in terms that are acceptable to us and within our risk appetite, but they're out there and we're working harder to find them. We've certainly laid a firm foundation in anticipation of a more competitive landscape ahead. In spite of our size, we compete with business with many much larger competitors, and this is why relationships matter. It also matters that we know who we are and what our capabilities are and what we can service. Well, over the last year to two years – one to two years, the actions we've taken and the decisions we've made have laid the groundwork for continued success and growth. We have a relatively new presence at Lloyd's, our new London offices. We've added underwriting talent and capabilities in London in our offices across Europe, Asia and the Middle East, and we've done this across many lines of business. And we've taken steps to bolster our operations across the group to ensure we can continue to service our clients and brokers as we grow, specifically on current conditions and opportunities, the story remains broadly the same as we've talked about on our last several calls. Our focus remains more on short-tail and reinsurance lines, and that's where the environment is more attractive. Long-tail lines, for instance – for us continue to be pressured, but we're beginning to see signs that certain lines may be stabilizing. This obviously is a little different to what you may be hearing about U.S. liability lines but remember our long-tail portfolio is exclusively non-U.S. Going to our short-tail segment, rate momentum remains broadly steady, similar to what we saw in the first half of 2024 with some variation by line and by geography. It's increasingly competitive, no doubt with more emphasis on building market share, especially in specialty markets that we're in including excess surplus lines. We continue to see positive momentum and great opportunities in parts of our marine portfolio as well as property, onshore energy, construction contingency. We've grown the engineering construction book by about 35% over the last couple of years with very good opportunities in the U.S., AsiaPac region including Australia, and also in the Middle East. In other lines like downstream energy, oil and gas, which is one of our largest lines of business, rates continue to come down but in a relatively orderly fashion, and I'd point out that that's coming off a fairly hard market over the last few years. Aviation continues unfortunately to be the outlier with now three consecutive years of market rating decline. And upstream energy is also becoming a lot more challenging. In our reinsurance segment, where we noted some early signs of rate softening in last quarter's call, the recent loss activity that I mentioned earlier seems to have had the effect of keeping rates relatively stable and keeping minds focused on maintaining discipline. Specifically, in our treaty portfolio, we continue to see positive rate movement of around 5% overall. Again, it's a very broad international portfolio, international footprint, much variation by region, but these increases come off the back of more than 25% rate increases that we saw in 2023. I would say that the reinsurance segment definitely remains the brightest spot for us and we expect to see continued growth over here. In the long-tail segment, net rates overall remain broadly adequate, but as we said earlier this continues to be the more challenging area of our portfolio. We are though seeing some signs of rates leveling off in both our Professional Indemnity and D&O books, now after several consecutive quarters of decline. Just looking at our geographic markets briefly, the U.S. has been the biggest growth area for us and there continue to be lots of good opportunities for us to write new business there. As always, though we remain cautious in our approach we're mindful of our risk appetite tolerances, especially in those heavier CAT exposed coastal areas. We're also mitigating the rising competitive pressures that we're seeing, which is mostly coming from existing players and domestic markets who seem to just be pushing for a larger market share at the moment. In the nine months through Q3, we wrote over $100 million in gross premium in the U.S. which is a significant increase on the first nine months of last year. So we're continuing, sorry, we're continuing to focus exclusively on the short-tail lines in the U.S. We're also continuing our focus on expanding our presence in Europe and growing our footprint there. We've been saying that for several quarters and this is where we've enhanced both our capabilities and product offering. Again, these are markets that take time to penetrate, but the groundwork is well underway and we're beginning to see progress. In recent months, our teams have been much more actively marketing across Europe and traveling the region. Through the first nine months of this year, we've written almost $60 million of premium across all segments of our business in Europe. It's a similar story across the Middle East, Africa and Asia Pacific regions where we're supplementing talent across various lines to capitalize on the opportunities there. So we will continue to do what we're doing, keeping our focus squarely on our core principles, discipline, consistent solid execution and prudent capital management, all underpinned by strong cooperation and collaboration. We do all this with the promise of protecting the profitability profile of our company and the capital that is entrusted to us so that we are in the best possible position to deliver on our promise of maximizing value for our shareholders. So I'm going to pause here and we'll turn it over for questions. Operator, we're ready to take the first question, please.
Operator: [Operator Instructions] Our first question comes from Scott Heleniak of RBC. Go ahead, please.
Scott Heleniak: Yes. Waleed, hope you're doing well. Just the first question was just on gross written premiums. Not surprised to see the long-tail line down in premiums. It's been that way for a little while now. The short-tail and reinsurance, it was a little below what we would have expected. You did show some growth there in the second quarter, but are you viewing that pullback is temporary there? You talk about where you're seeing the competition and do you expect to see overall premium growth in 2025 across the organization based on what you're seeing now?
Waleed Jabsheh: Thanks Scott. Thanks for the question. Hope all is well. I mean, as we said on the call, this is nothing to be overly concerned about. Q3 is always the tricky quarter throughout the year where outside of the first of July, honestly there's not as much consistency in the business that comes through the quarter as there are in the other quarters. So we're not concerned about the slight decrease in premium in Q3. I think Q4 and it's not an indication of a trend. Long-tail lines, I think as we said the pressure will be there. But in terms of short-tail and reinsurance especially, I think we're laying the groundwork for continued growth and profitable growth in those areas. And I think whilst the market is more competitive, it's still in a state where it is conducive for healthy underwriting and profitable underwriting. So for 2025, we're not, definitely not thinking that we're going to stand still or growth is very much on our minds, and expect to continue to grow in 2025.
Scott Heleniak: Okay, that's helpful. Just on the reinsurance unit too, I know some companies, there's some lumpiness and timing that happens too in revenues when contracts are renewed. Do you see a lot of that in your book? Was there anything in this quarter where there's any timing issues in terms of something that was non-renewed or anything like that? And is that fair to say that there is some lumpiness that happens in that book, if you can talk about that at all?
Waleed Jabsheh: On the reinsurance side, I mean, the biggest period for us is the first half of the year and then your adjustment starts coming through throughout the second half and you get, as we mentioned those what we call true ups. The reinsurance is the brightest spot for us and we will write most of it in the first half and the adjustments will come through. Again it's nothing really to be. It's not indication or anything like that, it can get. The Q3 is always a bit of the sort of trickier, more messy quarters. But for us, reinsurance is as I said as I mentioned earlier, the brighter spot in the book in the whole – the brightest segment in our portfolio now. And we're working hard to continue to take advantage of the market and continue to grow this segment. It's by far if done right, by far the most attractive segment at the moment.
Scott Heleniak: Yes, that's helpful explanation. And then just on U.S. business, I know you touched on a little bit. So it’s over $100 million in premium now. Can you just talk about the profitability of that business you started? You’ve been in it for four or five years now. Can you just talk about how the profitability has trended over that time and just your future growth plans on that? I know you talked about the market being a little more competitive in E&S. But where do you see that heading in the next five years just that U.S. business? And where’s the profitability compared to where you expect it to be?
Waleed Jabsheh: Yes, I mean, I think the results on the U.S. book for us have improved over the years. Obviously as we started, it was on a much smaller sort of premium base and we’ve grown that over the years. We’re $100 million now, all Short-tail. It’s been an extremely profitable book of business for us. And just like any other part of the world, if there are opportunities to grow, we will continue growing. We – it is becoming a more competitive environment. We are seeing a lot more aggressiveness from domestic markets. As you know, Scott, we write that U.S. book here from London which has served us well for the time that we have been writing it. But we are seeing more of that business stay local and London orders reducing. So we are looking at ways now to try and to tackle that business from not just from London but directly from the U.S. or Bermuda. So as long as we feel the market is going to – is conducive for profitable growth, we will continue to grow. Our intention is definitely to continue to grow in the U.S. I mean, the U.S. is the biggest market in the world by far and even $100 million book for us plus over a handful of lines of business, we haven’t scratched the surface there. So it is definitely – it definitely continues to be a big focus for growth for us going forward. Again, always caveat, as long as the market is on our side and we feel is conducive for that profitable growth. We added engineering and construction to our product suite in the U.S. this year. And if there are opportunities to add more going forward, then I mean that’s definitely something that we will do. So yes, very much still focused on growing in the U.S.
Scott Heleniak: Okay. That’s helpful. And then just the last question I had was just a numbers [ph] question on the net investment income level for Q3 was pretty similar to Q2. Is there anything that we should be aware of in that? I guess with higher yield I would have thought it’d be up a little bit. And is there anything I should be aware of and do you expect that to grow from the Q3 base, the net investment income level over the next few quarters?
Waleed Jabsheh: I mean, I don’t think there’s much really to what do you call it outline on it. I mean it may have been relatively flattish, but our yields are slightly going up and I think that will take a little bit of time to filter through maybe. You’ll probably start seeing more, a bit more growth in the investment income going forward, but it’s not going to be significant. I think we’ve hit a relatively what do you call it sort of we’ve hit the peak on the interest rate environment. And remember, we’ve edged out the duration, so I wouldn’t make much of it, I mean…
Scott Heleniak: Okay. Got it. Thanks for all the answers.
Waleed Jabsheh: No problem. Pleasure.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Waleed Jabsheh: Just thank you all for joining us today, and thanks for your continued support. As always, any additional questions, please contact Robin and she’ll be happy to assist of course. And we look forward to speaking to you on next quarter’s call. Wish everybody a good day. Thank you.
Wasef Jabsheh: Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.